Marcin Droba: I will start to record then I will share a presentation and we will be free to start. Sorry. Sorry, not that so life just anymore. To main presentation at hand. So perhaps I will give a minute, I will stop recording and how do we start on Recording stopped. Sorry my thought a busy day. And we're not exactly the market favors today. So -- that's right on.
Lucja Kaseja: So once again, good afternoon, everyone. Today, we are going to talk about key performance indicators of quarter of 2023, '24 at Tecan. It's actually the first conference call that we are taking under the new name. Together, me, [indiscernible] and Marcin Droba, who will present to you the results shortly. That should take us and then we are, as always, happy to answer any questions that you have. We're happy to see some openings, but also a few new people that will be there. So in this quarter, the most important thing that took place was the change of the name. So we are no longer live chat. We are Text now. The shareholders have agreed in August to change the name of the company. And that has happened in September. And now we are quoted under the new name and the new ticker, which is Text. The vision mission stands as it was. So we are at text.com, we are tax intelligence for better customer service. And with that mission, and vision, we help brands with the customer service, mainly focusing at text communication. With many we have met already, but very briefly, a few key facts about the company. So we are a global support as a service business. We generate our revenues globally and the majority -- well, not majority, but around 40% are from the United States. Whereas we being based at -- in Poland, we have slightly less than 2% of the revenues generated from here. We offer our services in B2B subscription model. We have a very unique customer acquisition model that has many channels. And that approach allows us to sustain quite high margins for a long period of time already. We have co-funders still engaged within the company, the CEO and the people on the supervisory report. We pay dividends. We have a good track record of that. And the most important things, the products that we have. So we have 5 products, LiveChat, chatbot, [ held ] knowledge base and open widget, which is the newest one. I'm not going to go into details about the product because what is the -- what interests you the most today are the numbers. So I will jump straight into KPIs. So the first -- and the most important KPI that we have is monthly recurring revenues which is, for the quarter, July to September, USD 6.4 million. And that is an increase of over 30% over the year, and it is a flat number against the previous period. So now although we do not present the estimated revenues -- for comparison reasons, we have put these numbers into the presentation because this quarter is not the best quarter that we had. But in order to give you full picture of how the things are at the company. If we counted the revenues in the old way, that would be close to USD 20 million revenues per quarter, which is a decrease over the last quarter. And now some of the numbers for the product.
Marcin Droba: Maybe just let's say that we are in the middle of the change of recognition policy. So we are going to change that and that's why actually we want to present data but revenues will be counted slightly differently versus what we did in the past.
Lucja Kaseja: Yes. The reason for the change is that we used to -- we still collect the annual subscriptions upfront. And previously, that was all accounted towards the quarter when the payment was done. But now because those numbers for annual subscriptions are higher, the auditor has suggested that we changed that policy, and we should be able to present those with the semiannual report. Now we can talk about the numbers. So first, a Live chat. The number of clients at the end of the quarter was 37,838. So that is an increase of 73% clients per quarter. And it is not highly satisfying results. The summer months were usually are slightly worse in terms of the additions. But also what has changed over the last year is a higher churn, and that churn in the months of July and August, was at the level of between 3.5% to 4%. That has improved in September to below 3.5%. But obviously, the higher churn rates have influenced the net customer growth that we had in the quarter. When you look at -- and compared to the previous year, obviously, it is higher. However, if you look at the numbers in the particular months of this year, it stays rather flattish with the value of USD 156.8 ARPU per in September this year. Also, I'm going to present to you the initial ARPU of live chat. It fluctuates with time, but in the last year, it is more or less at a similar level. It has improved at the end of September. But as we have always been saying, it is actually influenced by the customers who come in the particular months. So whether we have smaller or one, this changes and varies in particular months. Slightly different picture is with chatbot actually, we are very satisfied with those numbers because the number of chatbot clients increased by 136 paying customers at the end of September. And we see a lot of interest in Chatbot, especially in Chatbot 2.0. Quite a lot of potential customers are using it in better phase. And also the [indiscernible]  the sign-ups for Chatbot 2.0 is actually quite good. So not only us but also our customers wait for this product to be not in better phase but in full production, so to say. Chatbot ARPU has increased and also initial ARPU of chatbot is higher. So it actually presents very good numbers. It is also the very first time that we present KPIs for HelpDesk product. In July this year, HelpDesk exceeded 1,000 customers, paying customers. And for us, it is kind of a number, the magic number -- a magical number for the products. And from now on, we will be also publishing the results for HelpDesk, both ARPU and the number of clients. As you can see, in the last months, HelpDesk is actually growing at a very good pace. It has added, if I remember currently, 74 clients in the quarter. So actually, if you look at the base, it is a very good growth that we have for HelpDesk [indiscernible]
Marcin Droba: More than life at definitive terms. Yes.
Lucja Kaseja: It's the first time when actually both of the products HelpDesk and chatbot are having more additions than our flagship products.
Marcin Droba: Net additions to be precise.
Lucja Kaseja: To be precise, exactly. And also, if you think -- if you look at ARPU of HelpDesk, you can see that it is at the level of USD 136 and maybe a little bit of background here. So in HelpDesk the first product that we started to increase prices that was done in May last year, and you can actually see that on the graph. What we did was in HelpDesk, we hedge 2 plans. The very first one was just a couple of dollars and then the higher plan was $20 something. And what we did, we got rid of the cheapest plan, and we introduced just one plan with better features and also the product was developed. And so both of that -- of these actions actually allowed us to improve not only acquisition of customers, but also a significant increase in ARPU. In terms of KPIs, that's all. But just briefly about the business updates for the quarter. So summarizing some of the numbers, we had monthly recurring revenues increased by almost 32% year-on-year. but it was flat as compared to the previous quarter. We are revising our revenue recognition policy. But if you looked at it the way we calculated that before, it was USD 19.8 million, which is down from what we had a quarter ago. During the quarter, all of our products got net additions with live chat, customers held disk and chatbot actually getting more customers than Livechat. And important things that took place also during this quarter is this change in the name. So we are no longer live chat. We are Text now, as you can see on the to share that margin has. We are constantly working on new functionalities in the product. Chatbot 2.0 gets a lot of attention, and it's tested by many of the customers. and they are actually giving us a very good feedback so that we can improve the products further. And also until next week, there is open application for Vortex accelerated workshops. It's actually the second addition that's taking place and it's aimed at cooperating with startups and developers who have IDS in the tax communication area that we can work together on and possibly introduce that in our marketplace. And this is the summary that we have for you today, and we are open for questions now. Thank you.
Marcin Droba: Thank you. And we have the first question from [indiscernible] Good afternoon. Is there any specific reason for the lower estimated revenues in Q2 compared to Q1? So maybe I will take this one. I will start. So when you see the difference in -- I will find that slide, if you see difference between MRR and estimated revenues here. And if that's a difference in the dynamics, usually the reason was and is annual payments. So we're going back to this -- our policy of revenue recognition. So it means that we have, for example, more annual payments in the previous quarter. And when we look at MRR, it's spread  the 12 months, but it was booked for the given quarter. That's going to change. So probably if in the case, -- but if the new policy would be already in place probably, my guess, my could guess because I see some numbers, probably we had some growth here in the quarter. I hope  answers your questions. And the next question from [indiscernible] it is foreseen an increase in prices of life that chatbot in Q3 or Q4.
Lucja Kaseja: We are not foreseeing that the price increases until the end of the year. As we said previously, we are definitely going to do it more often. But whether it's a year or 1.5 years after the previous one, -- we have no rule for that.
Marcin Droba: That would be -- maybe that would be possible in the case if the new prices would affect only new customers. So definitely, before -- and of the whole cycle of change of prices, we -- that probably wouldn't be very priced to go again to customers and with another rise. But that would be possible entirely for the new customers. I know why we definitely to address these matters because we have a lot of questions about room for the price increase. And we think that there is a room for that. Looking at the market, looking at the competitors recently [ xander created ] prices. We think that is their own. But at the same time, we want to go to the customers and we want to communicate that we not only raising prices, but what we did during that time, what we added what value we created for that. So definitely, we don't intend to wait too long. We want to observe market. We want to be much more flexible when it comes to pricing. And so probably something will happen probably not in coming weeks, but something will happen. I would say that probably not in the [ mood ] before the NSF, but maybe the next year. As we have our meeting here, that's the probably subject of some discussions, maybe between our CPO and CMO or CEO, and we have a discussion. We're thinking about it. We're working on that. We're looking at the market, and we hope that there will be place for that.
Lucja Kaseja: So the next questions are about Chat GPT, AI, and I am going to combine it with a third question. So -- the first one is, have there been any benefits identified from using Chat so far? The second one is how is AI used in our solution? And the third one, I think we can answer the 3 of those at the same time is we have also commented on AI implementation testing. Are you operating with some specific supplier of data? Shall we expect higher CapEx into your internal IT infrastructure people? I think we will be able to answer all of those kind of at the same time. So first of all, what we see is that the clients of all of our solutions, they can actually choose whether they want to use ChatGPT or not. So it's an add- life products, for example. And what we see is that the bigger customers, the more corporates -- they are quite restricted in the way they use it or even they prefer not to have it at all. So it's quite surprising to be fair. Also, it -- ChatGPT basically are the solutions, the features that we have. They help with automation or rephrasing or writing in by tone of voice and the answers to the questions that the customers have. But it's not as AI makes all the work for the agents. Quite a different story is with ChatGPT -- with -- sorry, with Chatbot 2.0, where the whole Chatbot2.0 is designed in such a way that most of the work will be done for the agent. So for that scenarios or the answers will be built using AI. And we are actually managed to build our own model that -- and we do not really rely on third parties. Although, for example, for LiveChat product, it is open AI that we use. And the question that was, whether that's means there will be higher CapEx or higher costs connected with using the data. we assume that at the beginning that those costs will be much higher, but the usage that we see is actually lower than we expected. So it will not change the magnitude or the costs in a  numbers to be fair.
Marcin Droba: Yes, adoption by our customers. probably, yes, it definitely means higher costs that store that will happen. But that's what the bad thing at the end of the day. And we have -- you want to add something to that question. Because we have also [indiscernible]  with his hand raise, so maybe we take that.
Lucja Kaseja: Let's take questions from him.
Marcin Droba: So hello, [indiscernible] You can speak now.
Unknown Analyst: Marcin, Kaseja. First, would you -- I don't think I understood or I know if you mentioned it. When will Chatbot 2.0 will be launched. Could you please elaborate a bit more on the changes that have been done between the actual chat bot solution compared to the new one? Maybe some -- a bit more color on the pricing side? And the second one is a bit more forward looking as last year in Q3, you implement some price increase that had -- I mean, you implemented a bit before, but it has -- the real effect was visible on Q3. I know you don't give any guidance, but are you keen to maintain growth in second part of the year comparing the tough comparison base?
Marcin Droba: Okay. So maybe I will start with the Chatbot. Yes. So Chatbot now is tested by some 250 paying customers. So that's up and we are receiving a lot of feedback, a lot of requests. I think that's absolutely great because from what we are seeing, we are -- we will be able to add things, people work from Chatbot 2.0, it will take some time. So that's why we really don't want to have and definitely not to communicate and time lines for Chatbot 2.0, it's -- I think we have a huge base of users now a huge base of companies using a chat bot -- and so we're happy with how it work. We have also a lot of interest. We have a customer asking to get this data. So we are really happy with that.
Unknown Analyst: Sorry to interrupt, but what are the new functionality? I mean, what's the big change? Ordinary, we don't...
Marcin Droba: Yes. So definitely, I'm going to go into that because I think the biggest change for users from our customers is the very beginning. So we still current version of the chat bot, the current chatbot at current version of the chatbot is rule-based chatbot. So actually you start work with you that but we're creating some scenarios. And we put a quite a nice way to do that. So actual it's drag and play. It's -- you don't need any coding scale for doing that. So it's nice. We like that. But it still takes a lot of time. And it's not as easy as it should be -- actually I was doing that. So actually, it takes a lot of time, a lot of your work. With Chatbot 2.0.
Unknown Analyst: They It takes a lot of time to the clients in order to...
Marcin Droba: For the customers, yes. because chatbot is not like ready [indiscernible] actually is at all, which is for building but actually, it's store for building your scenarios. Actual, yes, we had some template which could help you but extent of the day is about creating scenarios for the bot. And in case of Chatbot 2.0 actually, the first very things you are doing, you're choosing a source of knowledge for this bot. It can be your website. It can be some document created for the bot, and then actually, you can go and make some coffee and during your coffee. And you need to wait. An hour ago, and when you will be back with your coffee, these scenarios, all that work will be done. And of course, a lot of work is still to be done. You have to dip into that, you have to check everything, you can [ polish ] scenarios made by AI. But that's the huge change. That huge change because I think the biggest -- from our perspective, because difference between Livechat and chatbot is from the customer's perspective. In the life that is absolutely very easy to embrace. I'm pretty sure every one of you today can look for the first time at the Livechat as at all and without an training, you can start work with lifetime. With chatbot is much more difficult and he is changing that. So that's a huge that huge change.
Unknown Analyst: Maybe just a question in order for me to better quantify the efficiency gain for the client. How many time does it currently take to clients? I don't know -- I know that it depends from one to another whether the strategy is difficult or not. But what would be the efficiency gains, sorry, with this new chatbot 2.0?
Marcin Droba: So of course, one thing is the time you need to create scenarios. Of course, that's the one thing. But the second thing is, of course, is going to work and of course, that's 2 things. With the [indiscernible] but it's very dependent on your scale and what you are doing and what your business is and what the purpose of the bot because, of course, you can create bot that will be just directing your customers to different source of communications that you can create. You can use easy template, premade template. For example, in the restaurant for bot who will be helping with booking. So really, it depends, sorry, but that's the only right answer. For bigger companies, of course, that change will be much, much higher. At the other hand, the bigger companies, you have people who can do that. In the small companies time is probably more valueable. So yes, definitely, we are convinced that Chatbot 2.0 is no, really completely different products, especially at the very beginning of the customer, adventure with that product. And that's very important because we're always looking today at the Chatbot. We [indiscernible] we're losing a lot of customers or potential customers at the very beginning of the work we've chatbot.
Unknown Analyst: Okay. Clear on that.
Marcin Droba: And the next question was about some guidance and of course, we don't give guidance. But of course, traditionally, I'm not saying we are not happy with flattish quarter. definitely. We are not happy. It's not something we'd like to see. But when you look at last year, that this quarter was almost flat. And usual [indiscernible] is just a bad time for the new business. And of course, at the [ Polish ] webinar someone pointed out at 2020, 2021, we're much better but sorry that this year was really different. I mean we had this pandemic at hand and really vacations looks very different also for the business as for online business as -- so I think we -- now we're going back to the situation when we have more seasonality, not in our whole business, but when you look at the new business and customer acquisitions. So I really hope that the current quarter would be much better, especially in the terms of LiveChat and then new customers or customer addition.
Unknown Analyst: Okay. So you're keen to -- even if the comparison base is quite difficult to work in to grow in second half?
Marcin Droba: Definitely. We will be working on that. You can be sure, you can be sure.
Unknown Analyst: Okay. Very clear. Maybe a last question I mean, since you changed the name of the group, you -- it was the first step, let's say, you talked about bulk offer since quite a long time. Can you tell us a bit more on this project? Is it something that would be proposed within the end of the year? Or when do you think it would be ready? And what's the next move after this name change I think everyone have in mind that the potential dual listing in U.S. Is it something you work on?
Marcin Droba: A lot of questions in your last question. So yes, I think -- I mean changing name was -- but really, it's not only about name, it's only about -- also about strategy. And for now, we have the place when we showing call portfolio. For us, that's a change. And more things, I think the offer,the joint offer is the case on the future. The focus is as we're -- honestly that the focus in is on today. Business, I think we have more fresh thing matters. We have now a lot of new things to our products. We'll be thinking about pricing. So I think this joint offer is not really our focus today, but at the end of the day, we have on place when we're showing the whole offer. And for us, it's a huge step. And of course, if you look at text.com, you will see this place called Universe and API and I think that the strong guidance of the direction when we want to go in the future when we saw some potential. So definitely, I think I don't want -- we don't want to go to deep into that today. Today, we are discussing the results. But definitely, if you look at text.com, definitely you should look at this part, text Universe, text API, that's important for us. That's important for us. So thank you. Thank you for the questions.
Lucja Kaseja: There was the second part of the question about the U.S. listing. So nothing changes here. So it's a long-term plan or ambition of the CEO of the -- for the company to be listed on the U.S. market. But it's not that we took any further steps to make that happen.
Marcin Droba: So don't expect any news on that in the coming months. But definitely, I think, yes, text ambition for the [ verilink ] time, we chose also because we were too small. Hopefully, we'll be very happy to start to work on that. But today, no news on that. No update on that. Thank you. And we have William Sewell, which has also raised a hand. You can speak now.
William Sewell: Can you hear me?
Marcin Droba: Yes.
Unknown Shareholder: Marcin, I am Sewell here. I've got 2 questions. First question, you described how you have Chatbot 2.0, and you also have AI features on the live chat platform. Can you describe out of 37,000 customers, how many of those customers are using AI features at the moment on LiveChat?
Lucja Kaseja: So for the LiveChat, it was introduced to the higher plans, and it will be thinking whether we can give the exact numbers.
Marcin Droba: I don't want to pass. So it's available for enterprise and business customers. but definitely not only for this who opt in that. And really, honestly, I don't have this data. I don't notice the data for now. It's definitely not all of them. We were surprised -- at some point, we are surprised that really not all of them, maybe not all of then, but a lot of them didn't jump out in. But now I think it's a good thing. I think it's really good to know that these companies are very careful. They have a lot of questions about data security, use attracted data and seeing some of them waiting for some regulations, some of them are preparing some internal regulations. So the lesson is adoption of the AI features by the market is probably slower than expected, which is not necessarily a bad thing for us for market and for business. It will happen, but not as fast as we expected at the beginning of the year. So yes, the feature [indiscernible] but I hope that at least partly answer your questions, not all the customers who have these features are using that.
William Sewell: And just quickly, is that the -- are they paying anything extra when you give them these features? Or is it just on top of the normal package?
Lucja Kaseja: It's on top.
Marcin Droba: So now and we're stating touched its beta. So actually they now and maybe that is stopping some of them. because it's branded as a beta as something which is during some tests, not the final version.
William Sewell: And this is separate to Chatbot 2.0 as well?
Marcin Droba: Yes.
William Sewell: Yes. Okay. Got it. Perfect. And then -- so just my second question is on the churn. You talked about how the churn has gone up in August to 3.5% to 4%. Does that mean that -- would you say -- I know you don't like to discuss like the gross additions quarterly. But is it fair to say that the -- you're still seeing the same dynamics as before in terms of gross additions like people are still signing on? Or has that also been weak?
Marcin Droba: Someone at addition, I would say. So yes, as for July and as for August, it wasn't so bad as the growth level. So yes, good thing definitely. At the same time, I think that a lot of what's happening with churn is also the effect of the current mix of the customers. So we're seeing now markets more dominated by small customers and the churn in that category of customers is higher, not only because value for these customers is lower somehow, but also because a lot of these customers are using tools like dot for some given period of time, just on some projects on...
Lucja Kaseja: In this month of Q2, we actually see different dynamics in terms -- the additions, they were more or less on the same level for all of the months. But we've seen quite different behavior of the clients. So there were different -- there were actually more upgrades in July and August, less of those in September. And actually, in September, there were quite a few downgrades, whereas the churn was better then it was lower. So it's really -- it really is that the summer months are slightly different in terms of the behavior of the clients. And although for the last 2 years, so to say, covered years, everything that we said in the past was different. So it is back to the usual, so to say, that July numbers are not really the best months in our business. And having said that, also in terms of the deals that the sales team signs. Actually, for the sales team, it was quite a good quarter to defer. And because they were able to sign in quite a lot of medium-sized customers. But again, we will see the effect of those summer months, third July, August when not mills were started. And the effect of that, we will see in Q3 probably that there will be less leads for the new deals.
Marcin Droba: At the same time, when you look at ARPU,with that comment, you can be somehow surprise because the ARPU was lower but also we lost one from a bigger customer at some time. So that affected ARPU. And of course, that's the bad thing. But at the same time, I think that there is some hope that we will see a better brand with more medium-sized customers that had helped. I tend to say that and saying that once again, of course, our business model have this effect that we don't have really a [indiscernible] ability to forecast. We are not forecasting, but we don't have a huge pipeline of long time project. We have -- we can look at trials, we having now to look at  from KPIs look like any of these trials or the credit cards, how many of them start chatting and really forecast out the next to weeks will look like. Looking past 2 weeks, honestly, is much more difficult for us now at this moment. Thank you. And we can go back to a written questions.
Lucja Kaseja: I think the answer is to those vocalized questions are Dave also answers to at least two of those questions about the net adds and the number of clients in turn.
Marcin Droba: So yes, we have questions from [indiscernible] Could you please comment on the number of clients and chair? Do you expect an improvement going forward? Do you plan any sales marketing campaign? So I think mainly answering the last questions. Well, we usually we have more marketing activity, in that quarter in Q3 or in Q4, calendar Q4. That's usually the most important period for us. We have Black Week some marketing actions, that's the most important time for the new e-commerce, so nothing new, not in core, but yes. more activity from our side, yes, probably as every year because that's the most important part of the year in the terms of new business for the e-commerce. And Paraibarski, wooden what studies for weak live track net apps in second quarter -- and I think we also added that the churn definitely didn't have. So I would say higher churn, especially in the July and August, September wasn't great, Idar. And if you have any more detailed questions, we'll help, of course, let us know. Thank you for being here with us. And the next question from [indiscernible]
Lucja Kaseja: Any comments on your market share versus peers? Is the market has set growing in number of clients or the overall market is flat the market share versus peers, it's not so easy to track it down. That's kind of a problem that we've always said that there are no really good numbers to compare. But if you -- and we cannot really track the number of clients of our competitors either. But overall, the market is growing at 15%. When we look at the revenues, for example, of the companies on the market. So there is still new customers and also there is this AI boost that the market that moves the market.
Marcin Droba: So if you look at the annual one dynamics, 40%, we are still -- it's not so bad definitely. We are not seeing clearly in this quarter and an extremely interesting things on our market and a huge changes. As you know, then decreased prices in -- effectively in the July, which is probably a good thing we definitely think  there is a room for us to look at the pricing. And we have some -- Okay. So question from Pratik. Do you expect China record that in 2Q to be a long-term issue visible in the upcoming quarters? What's the reason for increase in the churn rate?
Lucja Kaseja: So the -- maybe first, I'll answer about the -- so to say about the past. So we've seen the increased churn levels for out well, last year. So in the previous year, we've seen a trend rate below 3%. Now it has always been above 3% with quite high numbers. In November, when we introduced the new pricing and now in the summer months of July and August. In September, these numbers, the churn rate is lower. So it's below 3.5%. So we will hopefully stay there. We'll see how that goes into the rest of the year of the financial year, although we cannot really predict how the customers will behave to be fair.
Marcin Droba: [indiscernible] unpleased, unsurprised. And we were surprised. So definitely, probably we are not at the position to formally forecast something at this moment, honestly. Hopefully, it will be better, I mean vacation is always that the most difficult part of the year maybe we've exception for January, but also the beginning of the year is always sometimes is different. It's not only the same pattern every year. So we, of course, -- that is hope that we are entering in the more busy period of the year when tools like ours, the [ money ] that [indiscernible] for then usual in that part of the year, we used to see a much higher usage. We usually have more chats at this part of the year, there are more interaction, more tickets and by hub desk. So we'd like to be careful. But of course, we hope that's not new reality. That tax point have 4% of the cab. -- is not a  reality for us. That obviously would be a bad thing, but we will see. I think that's definitely the KPIs. We will look very closely at the coming months. And I think we answer all questions.
Lucja Kaseja: But there's always a chance to ask -- the last question, if you want to.
Marcin Droba: I think not. I think not. So thank you very much. Thank you for being with us today. Thank you for all your questions. We're happy to have you here. And see you in the 3 months. I hope at we will be able to discuss better results, the better quarter and -- have a good day. Have a nice evening.
Lucja Kaseja: Thank you.
Marcin Droba: Thank you very much.